Operator: Greetings, and welcome to the Thermon Group Holdings First Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Kevin Fox, Chief Financial Officer. Please go ahead.
Kevin Fox: Thank you, Brock. Good morning and thank you for joining today's fiscal 2022 first quarter conference call. Earlier this morning we issued an earnings press release, which has been filed with the SEC on Form 8-K and is also available on the Investor Relations section of our website. Additionally, the slides for this conference call can be found under our IR website at News Events, IR Calendar, Earnings Conference Call Q1 2022. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures in the tables at the end of the earnings press release. These non-GAAP measures should be considered in addition to and not as a substitute for measures of financial performance reported in accordance with GAAP. I'd like to remind you that during this call we may make certain forward-looking statements regarding our company. Please refer to our annual report and most recent quarterly report filed with the SEC for more information regarding our forward-looking statements, including the risks and uncertainties that could impact our future results. Our actual results may differ materially from those contemplated by these forward-looking statements and we undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future developments or otherwise, except as may be required by law. With that, we will turn to the opening comments from Bruce Thames, our President and Chief Executive Officer.
Bruce Thames: Thank you, Kevin, and good morning. We hope everyone listening is staying safe and in good health. We appreciate you joining our conference call and for your interest in Thermon. Kevin Fox, our CFO, is here to provide additional details on our Q1 financial performance following my remarks. Turning now to the first quarter results. Overall, we're very pleased with the first quarter results the team delivered to start the fiscal year. We were particularly pleased with a strong order growth of 19% year-over-year in the quarter, which was reflected in the top-line growth of over 25% over Q1 fiscal year 2021. We're also pleased to see the results of our efforts to realign the cost structure to the incoming level of business with SG&A down 16% on an adjusted basis in the quarter and 22% on a trailing 12-month basis. Gross margins in the quarter fell below expectations for a number of reasons. First, we've seen the labor shortages and supply chain disruptions negatively impact volume and absorption in the quarter. Secondly, we have seen higher costs due to material price inflation and material and/or supplier substitutions as the team has tactfully managed in a dynamic and often unpredictable environment. These issues combined to negatively impact gross margins by approximately 390 basis points in the quarter. As a positive note, we have seen real progress on the labor front and have put supply chain strategies in place to address the disruptions we've seen and can anticipate. We believe these actions combined with price increases that were enacted in late Q1 will begin to have a material impact late in Q2 and fully offset these costs in the second half of this year. Despite the lower gross margins, the team delivered $9.7 million in adjusted EBITDA, up almost 600% from prior year on $71.2 million in revenue demonstrating very strong operating leverage in the quarter. Adjusted EPS was $0.07 per share in the quarter, up $0.18 a share, or 164% from the prior year quarter. Just as a note here, we continue to invest in our strategic initiatives to drive growth. I'll cover this in more detail later in the presentation. Turning now to a discussion of our end markets. We're seeing positive momentum in our end markets that began late in Q4 of fiscal year 2021 and is cause for cautious optimism. While we have not yet returned to pre-COVID levels of activity, we experienced a solid 35% improvement in our Q1 quick turn business over the prior year quarter as maintenance spending is showing positive signs of recovery, particularly in North America. As we look to the chart on Page 4 of the presentation, I would like to reinforce a couple of key points. First, roughly 52% of our end markets are outside of the oil and gas sector. Second, greater than 55% of our end markets are tied to the chemical petrochemical, natural gas and power markets. With natural gas as a bridge fuel, the chemical, petrochemical and power markets being driven by the emergence of the middle class in developing economies. The growth outlook across these sectors is much more robust than upstream oil, which now represents just 16% of our revenues. While expectations for capital spending this fiscal year have been low, we are seeing positive quotation activity with a number of capital projects moving toward final investment decisions, particularly in the downstream and petrochemical sectors. With numerous projects in various stages of planning and execution, we are also well positioned to capitalize on a downstream shift to biofuels as evidenced by over $4 million in capital projects currently in our backlog. In addition, we see significant opportunities in more diverse end markets with favorable growth potential such as rail and transit, commercial and food and beverage in the coming years. At this time, approximately 13% of our backlog is related to multi-year transit projects in North America. We expect the infrastructure bill currently in Congress, if passed, to create a tailwind in this sector. Moving on to Slide 5 of the presentation. While down 14% from the prior year period on a trailing 12 month basis, we have reached an inflection point with orders up 19% in the quarter over the prior year period and a positive book-to-bill resulting in backlog growth of 5% year-over-year. As a note, we have had a positive book-to-bill in five of the last six quarters. Increases in quotation activity, particularly in larger capital projects, is a very positive sign that a capital cycle could be building that will likely translate into bookings later in the fiscal year with execution beginning in fiscal year 2023. We're also seeing some positive effects falling winter storm Uri in Texas and along the Gulf Coast as customers in the power and natural gas sectors move beyond initial emergency repairs and begin to address winterization in advance of the next heating season. With the passage of Texas State Senate Bill 3 into law, now mandating winterization of the state power and natural gas infrastructure, we expect a positive impact to maintenance activities this fall and for years to come. I would now like to hand it over to Kevin Fox, our CFO, to provide a more detailed review of the quarter and year financial results. Kevin?
Kevin Fox: Thanks, Bruce. Revenue in the first quarter was $71.2 million, an increase of 25% versus the previous year. FX was a tailwind and revenues were up 17% on a constant currency basis. Thermon revenue was $291 million on a trailing 12-month basis. And with the increase we are seeing in customer spending, we expect to continue to see quarterly growth through the year. Trends in Canada are the most positive among our regions with increases in both project and maintenance while maintenance spending in the US-LAM region got off to a great start in Q1. We believe this is driven by an uptick in deferred maintenance finally starting to kick in. Some countries in APAC, particularly India, continue to be impacted by COVID restrictions, which led to lower volumes of business in Q1. Last, but certainly not least, we continue to make progress on larger projects in EMEA, albeit delivering relatively lower margin content in the quarter. Our business typically passes along pricing changes during the summer and this year is no exception. Those increases have been announced. And while we didn't see any benefit in the first fiscal quarter, we expect them to start to impact our results late in Q2 and for the remainder of the year. We believe the price increases should offset rising costs that we are seeing in our supply chain and manufacturing facilities. While there is still uncertainty around current or future COVID variants and the impact that may have on the global economy, we view this as a promising start to the year for revenues. Commodity prices are stabilizing around historically investible levels and our customer spending appears to be following suit. Gross margins this quarter were 39.6%, a decrease versus last year's 42.4%. As Bruce previously mentioned, the decrease was driven by manufacturing cost increases due to one, material shortages; two, having to procure higher cost raw materials to compensate for shortages or on shipping delays; and three, challenges securing hourly labor in certain locations. All three factors led to lower utilization and under-absorbing manufacturing overhead. On the positive side, we continue to see improving growth in our quick turn business, although not yet back to fiscal 2020 levels. Quick turn margins remain stable and attractive. And as a reminder, quick turn are the material sales that book and ship in less than two weeks and are accretive to overall gross margin rates. From a mix perspective, MRO/UE versus Greenfield in our legacy business was 65 versus 35 as compared to the previous year's mix of 68-32, which is also a slight headwind for the business. This is because within Greenfield, our larger projects made up a higher portion of project revenue in the period and larger contracts typically have a lower profitability rate than smaller projects due to scope. Typically, in this quarter, the larger projects are time and materials based, not fixed price and represent approximately 175 basis points of headwind in the quarter. This is an example of the mix within the mix that we have previously mentioned, but more broadly, I want to reemphasize that continuing to build our global installed base as a strategic imperative for the company. In response to the impact of inflation and the congested global supply chain on our business, we've taken the following actions: one, price increases were rolled out earlier this quarter, factoring in rising input costs for both us and our suppliers. Feedback from the field indicates our current planned increases were within customer expectations. Second, we've proactively secured supply of some key raw materials to minimize downtime in our manufacturing plants. And third, we've reviewed labor rates versus the market in certain jurisdictions and adjusted where appropriate so that we can continue to attract the talent needed to maintain our quality and safety standards. Last but not least, our annual continuous improvement targets for this year are approximately $2 million, and we believe remain on track. For SG&A, we've cleaned up the account presentations in the 10-Q you'll see later today, changing the previously named marketing, general and administrative and engineering expenses to now be referred to as selling, general and administrative in our SEC reported figures. Going forward, we will also present any expense or benefit from the non-qualified deferred compensation line separately given the volatility from its nature as a mark-to-market account that is offset below the line. Ultimately, we deduct depreciation from the SEC SG&A to get to the presentation we have on this slide. In Q1 2022, SG&A was $18.3 million, a 16% reduction from the comparison period. On a TTM basis, you can see the year-over-year cost-out execution of approximately $21 million or 22%. We previously indicated that we believe SG&A will average about $20 million per quarter for the year. So we are a little ahead out of the gate, which was expected. We plan for cost to increase slightly through the year, primarily driven by more travel as economies reopen and as we execute on planned investments and our strategic initiatives. We will continue to closely monitor expenses to ensure our business is positioned to drive improved profitability and cash flow as volumes increase. Adjusted EBITDA is on the right side of the page with Q1 2022 coming in at $9.7 million or almost 14% of sales. Adjusted EBITDA in Q1 has averaged 12.5% from fiscal 2018 through fiscal 2021, so we are slightly ahead of that historical average to start this year. Even despite the weaker gross margins, the combination of improving top line growth and disciplined cost management has resulted in significant operating leverage. Incremental adjusted EBITDA margins were 59% in the quarter. As we move through the year, we expect that TTM adjusted EBITDA dollars will quickly turn from declines to increases due to the improved business performance, and we expect the associated profitability margins to continue expanding. Not on the page, but we wanted to highlight GAAP EPS was $0.03 per share in the quarter with adjusted EPS of $0.07 per share. Reconciliation tables were provided in the press release for reference. A couple of quick highlights on the balance sheet for the first quarter. Cash ended at $41 million, down year-over-year but up just a bit over year-end. We made no optional debt repayments in the quarter as Q1 is typically our weakest period for cash flow due to seasonality and post year-end outflows. Inventory management continues to be top of mind, and we are flat versus March at $64 million. As a reminder, we generally build inventory in advance of the heating season, so we would expect this to increase slightly next quarter before again reducing in the second half of the year. Total debt is $148 million, a significant reduction versus this point last year due to our optional debt paydowns over the last 12 months. Net debt to adjusted EBITDA is now at 2.4 times, down from the year-end at 3.0 times due to the sequential improvement in adjusted EBITDA. We expect the business to continue to deliver in fiscal 2022 as the recovery takes hold. And as a reminder, we believe we should be operating in a 1.5 to 2 times range under normal conditions. CapEx was less than $1 million in the quarter as we continue to balance investments in future growth with annual maintenance. Free cash flow was positive in the quarter, $1.6 million and was our 12th consecutive quarter of positive free cash flow. From a capital allocation standpoint, we continue to evaluate potential inorganic opportunities for the business. We will monitor the pace of our deleveraging through the year vis-a-vis timing for any potential inorganic activity. Optional debt paydown remains the top priority in the interim, and in any permutation, we continue to believe in the importance of maintaining a strong balance sheet. Overall, a positive start to the year and illustrative of the opportunity ahead of us to drive shareholder value. Customer spending is returning. We are proactively managing our cost base, and we continue to believe there is significant operating leverage within the business over the next two to three years. Now I'll turn it back to Bruce for an update on long-term goals and our strategic initiatives.
Bruce Thames: Alright. Thank you, Kevin. With the recent events and the accelerated pace at which the globe is moving toward decarbonization, the Board and management have revised our strategy to capitalize on some of the major transitions underway. As a result, Thermon is highly focused on the electrification of industry and is positioned to lead this effort as evidenced by our recent paper presented on the topic at the PCIC Europe Conference this June. Turning now to Slide 9. As we move forward, in addition to core growth, we see developing markets diversification of end markets and technology-enabled maintenance as key drivers for growth moving forward. Our goals are to double our business over the next five years while diversifying our end markets such that greater than 60% of revenues are generated outside of the oil and gas sector. To achieve these objectives, we remain committed to investments in new product development that include connected and smart control solutions, advanced heating technologies and material science. We're excited to announce we have received the first order for the Genesis network, one of our nine new product introductions in fiscal year 2021 In addition to this order, we are seeing a growing quotation log of opportunities with this new platform. With IIoT capabilities, this new network significantly enhances situational awareness for our customers to increase safety, reliability and efficiency while creating opportunities for recurring revenues from software as well as troubleshooting and predictive maintenance. These solutions further strengthen the relationship with our end customers and improve our abilities to capture recurring revenues from the installed base. Diversification of our end markets is the second area identified as a significant growth driver going forward. Examples of other sectors with promising growth that we have touched historically include commercial, rail and transit as well as food and beverage. Shown here are two new heat tracing products targeting commercial applications with 120-volt heating and a low smoke zero halogen solution for the EU market. We believe the commercial space in heat tracing alone will significantly expand our addressable market by $750million Looking forward for the remainder of fiscal year 2022. Going forward, we are pleased with the realignment of the business and are well positioned to capitalize on a recovery that appears to be underway. We will maintain a laser focus on driving price increases and operational improvements to further improve the overall profitability of the business to offset the inflationary pressures we are now experiencing. We are committed to delivering $1 million in cost savings through continuous improvement while holding the line on SG&A expenses to drive meaningful EBITDA margin expansion in this fiscal year. While the delta and gamma COVID-19 variants created an ongoing level of uncertainty, visibility is improving across the business, and we are seeing solid demand growth. As a result, we are raising revenue guidance for fiscal year 2022 from a range of $278 million to $295 million to a range of $293 million to $308 million for the full year. In conclusion, we're pleased with the direction of the business and the improvements we are seeing in our end markets. Our proven business model, combined with our unique and long-standing customer relationship continues to demonstrate our ability to generate strong cash flow through the cycle. We have a very talented team that remains committed to serving our customers, while repositioning this business to capitalize on growing end markets to create long-term value for our shareholders. By focusing on both our operational and strategic initiatives, Thermon is well positioned to profitably grow as our customers and end markets emerge from this pandemic. I would like to now turn – pause and turn this back over to Brock, our moderator for the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] Our first question today is from Scott Graham of Rosenblatt Securities. Please proceed with your question.
Scott Graham: Yes. Hey, good morning. Can you hear me, okay?
Bruce Thames: Yes. Good morning, Scott.
Kevin Fox: Good morning, Scott.
Scott Graham: Great. Well, congrats on real nice quarter, a nice print here with pivot upward in both sales and orders. I have a couple of questions on margins. So one of the things you said at the top, Bruce, was that gross margin was impacted by labor shortages, supply chain disruption, materials inflation. Obviously, you didn't mention in their mix, but I was just wondering if you or Kevin can kind of unpack that a little bit and kind of tell us which were the worst, if you can tell us the basis point impact of the three or four issues that hit the gross margin or at least tell us which were the largest the least?
Kevin Fox: Yes. This is Kevin. Maybe I can start off with some of the quant and if we want to fill in the blanks with some color we can. If you think about the – maybe call it the supply chain and the manufacturing challenges, I think Bruce highlighted about 400 – 390 basis points related to those factors. Between that, I wouldn't necessarily think there's anything that's more material than the others of what we highlighted. But also on the mix standpoint, when I cited about 175 basis points of headwind, that was really driven by the largest projects that we have and just looking at those year-over-year. So there is probably actually a little bit more headwind if you think about the relative mix as well. All told, that's about 600 points between the year-over-year. And the other thing that's maybe worthwhile highlighting is that we fully look forward instead of back. Margins and backlog continue to increase sequentially as well. So I think quantitatively, hopefully, that gives you a little bit of color of maybe how you get from the 39 reported to something that looks more consistent with historical standards.
Scott Graham: Okay. So you wouldn't of Bruce's minus 390 call out anything? I mean they were kind of equal whether it was labor or whether it was supply chain or materials inflation, all about the same and the same, that's what I meant?
Bruce Thames: They're pretty evenly, I would say – labor shortages were probably one of the larger contributing factors in the first quarter. Second would be material shortages that stopped disrupted production.
Scott Graham: Okay. Thank you. And within that labor shortages, Bruce, do you also mean sort of what this seems to be a little bit of a reset in pay that there was a labor inflation there as well? Or is that separate?
Bruce Thames: That's really separate. That's really basically how we address some of the labor shortages in attracting caliber of talent we need for our manufacturing operations.
Scott Graham: Got it. And then going back to your long-term goals here, interesting. I just wanted to ask if do these long-term goals impact your focus on getting to like – I think you want to get to 22, at least a 22% EBITDA margin in 2023. A, I think I said – I think I've given the right number. B, do these new long-term value creation factors impact that?
Bruce Thames: Well, first, A, you are correct. That is our goal for fiscal year 2023. And those would be incorporated into our longer-term objectives. In my comments, I did mention a couple of times on really looking to get better leverage on the business, EBITDA margin expansion. And so that's embedded in those goals and objectives. We'll be sharing more detail on this next quarter, and I really look forward to putting some more of the pieces in place to really clearly show the path from where we are today to where we want to take the business by fiscal year 2026.
Scott Graham: That's great. Thank you, both.
Bruce Thames: Thanks, Scott.
Kevin Fox: Thank you.
Operator: The next question is from Brian Drab of William Blair. Please proceed with your question.
Brian Drab: Hi. Good morning. Thanks for taking my questions. First, just on gross margin. Just to be specific and clear here, there was a – I think you said, Bruce, a 390 basis point headwind related to these temporary issues in the first quarter, and then those will alleviate in the back half of the year. So should we model essentially at least a 400 basis point improvement from the first quarter for the second half of the fiscal year?
Bruce Thames: Directionally, that's accurate.
Brian Drab: Okay. Okay. Thanks. And then, I was wondering if you could – we've been trying to find more information about this legislation in Texas. Can you elaborate on the Texas winterization law and how you expect that to drive demand for Thermon in the near-term or long-term?
Bruce Thames: Yes. So as I mentioned, Senate Bill 3 was passed into law, which actually requires and mandates the winterization of the Texas natural gas and power infrastructure. And there are a number of elements to the bill. There's aspects of funding. There's also -- they've also mandated with the Public Utilities Commission and Railroad Commission that they define all the rules and regulations. That's currently underway. And the early drafts look to be very positive to be able to drive requirements. And so the new law essentially mandates the winterization has to occur and will set standards for doing so in order to sell into the grid. And then while it's early draft, it also provides some incentives for higher levels of winterization to kind of lower probability cases. So overall, we're pleased with the direction. We think it will really do a lot to improve the reliability of the Texas natural gas and power infrastructure, should we encounter future weather events similar to what we saw this February.
Brian Drab: So is there some legislation then that's in draft form and some that has passed? Or is it all in draft form still?
Bruce Thames: The law has passed. So – but what has been mandated – from the law it mandates the Public Utilities Commission and Railroad Commission established the rules and regulations governing winterization. And so that is in draft form. Those should be done by, say, the latter part of this fiscal year. The law is passed; the rules and regs have not.
Brian Drab: I got it. And so which products are you thinking would be most in demand here? I mean, is this more of the heating elements? Or is it the heat tracing cable? Or is it some of the more recently acquired technologies?
Bruce Thames: It's recent – it was really all of the above. It'll be heavily weighted towards heat tracing. However, a lot of the other environmental heating products in our Cata-Dyne, our Norseman and Ruffneck heating lines will be required as well for not only personnel, but equipment and instrumentation, particularly. So those are – it's really a broad swath of our solutions that will need to be employed to really winterize these assets for a future significant weather event.
Brian Drab: Got it. And then, can you – and I don't think that you did say this, and sorry, if you did, but tell us what was the growth or decline in revenue in the major geographies for the quarter?
Kevin Fox: Yes, Brian, let me get that here. So from a quarterly basis, you guys will see the Q later today, U.S. plus 21%, Canada plus 32%, Europe plus 58% and APAC was actually a decline of approximately 14%.
Brian Drab: Okay. Thanks very much.
Kevin Fox: Yes, no problem.
Operator: [Operator Instructions] The next question is from Scott Graham of Rosenblatt Securities. Please proceed with your question.
Scott Graham: Hi guys, if no one else is there, so I was going to ask you a couple more, if you don't mind.
Bruce Thames: No, problem.
Scott Graham: What was the percent of say – what was the FX impact in the quarter on sales?
Kevin Fox: It was about eight points. So it went from 25% reported, Scott, to 17% on a constant currency basis.
Scott Graham: Okay, thank you. And then, I guess, the comment that – Bruce, that you made to Brian's question about sort of taking what we didn't get in the first quarter and throwing it into the second half. I think they'll come back to you. I'm just wondering why you would want to kind of put yourself out there that these supply chain disruptions and what have you that are a lot of the stuff – a lot of the vast majority of the stuff is out of your control. Why that would sort of cure in what's essentially three months time as we need to enter the second half. Is it maybe more reasonable to assume that that spreads out a little bit more?
Bruce Thames: The reason I made the comment is one is I feel like we've largely addressed the labor issues, which were a significant factor in Q1. You're right that some of the supply chain disruptions are unpredictable. And so, those are things that are really beyond our control, but my comment there was that price increases will take effect and they should offset or even more than offset any future disruptions we have in the back half of the year that could negatively impact our cost basis.
Scott Graham: Got it. And then Kevin, maybe one last one for you. So with the gross margin, the backlog seemingly up each of the last, I think, couple of quarters. As we start to ship Greenfield out of that backlog maybe perhaps at higher margins, even if they're smaller projects, should be – it would seem to me that the impact of the switch to Greenfield on the – as a percent of total starts to get reduced. But I do know that there are the whole margin in the margin thing. So maybe just give us an idea of – is there a -- is the margin in the margin issue offset that? Or should that gap in gross margin actually shrink? Are you following me?
Kevin Fox: Scott, I think, I am following you, but it's you've – I think you might have also answered your own question too, when you think about the mix within the mix and as that changes on a quarter-to-quarter or year-over-year basis, but I think philosophically you're on the right path as we look to those margins in the backlog if they've higher than they've been before, at some point they're going to accrete in. If it's larger projects, they might be executed over a longer time period. If it's some smaller projects, maybe they would kind of filter in over a quicker time period. But as we've talked about a lot before, really, really difficult to kind of get forward and project those margins from an external standpoint. So, we try to concentrate on that mix within the mix and kind of give as much color as we can. But ultimately, as we think about the, I think the P&L and the margins through the year, we should be inflecting positive with the mix as some of those larger projects get closer towards the end of the execution phase. So, ultimately, I think, we're of a belief that it's a tailwind. But I think as your other question alluded to there's still a lot of uncertainty within the supply chain specifically around timing. And that's just another factor that we and others are all dealing with at the moment.
Scott Graham: Yes. Got it. And here is maybe my last one. So you guys have been very hard at work internally just trying to protect your earnings and what was not just a tough downturn, but maybe even a little bit extended, particularly on the MRO side. Now that you're starting to see a little bit more daylight kind of do we get back to start of rebuilding the acquisition pipeline because I'm sure that that was a back-burner of priority. Do we start to rebuild the M&A pipeline now? And or are you – or have you already kept up with that? And your M&A – the M&A has bubbled up from your business managers during this process kind of where do you stand there?
Bruce Thames: Yes, Scott, that's a great question. Absolutely, as we see de-levering throughout this year, we recognize the balance sheet is going to be in a fundamentally different place at the end of this fiscal year. We've been actively engaged in and really looking at that M&A pipeline, particularly in light of some of the – our strategic initiatives around diversification of our end markets. And so, we are really looking at that and recognizing that our position is going to be fundamentally different in the back half of this year. And we'll be much more able to execute on some of our inorganic growth opportunities.
Kevin Fox: Scott, I just – I might build on that as well as if we think about the market process heating, not just heat tracing, there is a lot of fragmentation out there. There's certainly opportunities for us to execute. And I think the balance sheet was more of the limiting factor. We've always kind of kept up with relationships and what's going on. So we're certainly engaged in the conversations and as Bruce said and hopefully that balance sheet becomes more of an enabler in the future.
Scott Graham: Okay, thank you both for answering all my questions. Appreciate it.
Bruce Thames: Thank you.
Kevin Fox: Thanks, Scott.
Operator: There are no additional questions at this time. I'd like to turn the call back to Bruce Thames for closing remarks.
Bruce Thames: Thank you, Brock, and thank you all for joining the call today. We appreciate your interest and support of Thermon. Please enjoy the rest of your day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.